Operator: Good day, ladies and gentlemen, and welcome to the National Retail Properties Second Quarter 2021 Operating Results Call. .  At this time, it's my pleasure to turn the floor over to Mr. Jay Whitehurst, CEO. Sir, the floor is yours.
Julian Whitehurst: Thank you, Tom. Good morning, and welcome to the National Retail Properties Second Quarter 2021 Earnings Call. Joining me on this call is Chief Financial Officer, Kevin Habicht; and Chief Operating Officer, Steve Horn.
Kevin Habicht: Thanks, Jay. And as usual, I'll start with the cautionary statement that we will make certain statements that may be considered to be forward-looking statements under federal securities laws. The company's actual future results may differ significantly from the matters discussed in these forward-looking statements, and we may not release revisions to these forward-looking statements to reflect changes after the statements were made. Factors and risks that could cause actual results to differ materially from expectations are disclosed from time to time in greater detail in the company's filings with the SEC and in this morning's press release.
Operator: . We'll take our first question from Katy McConnell with Citi.
Parker Decraene: This is Parker Decraene, actually on for Katy. Jay, I just -- I noticed that you guys bought a theater asset during the quarter. And I was just wondering if you guys, given the improved rent collections, just on a more long-term basis, how you think about the industry and sort of the changing dynamics there.
Julian Whitehurst: Right. And I -- let me clarify something there. We did not buy that theater. AMC had been a guarantor of another theater, they spun off some theaters but remained a guarantor of the lease. And so AMC took over that theater as part of a restructuring, a workout with the other tenant that was struggling. So we did not -- we didn't buy another theater, it just became an AMC in our portfolio. That is the line of trade that we've certainly still continue to have the most concern about coming out of the pandemic. We're happy with the -- or comfortable, I should say, with the theater exposure that we have. We acquired our theaters a number of years ago at lower price per property and more reasonable rents than some of the theater transactions that have traded in the last few years that we passed on. But that said, that business has been challenged for quite a period of time. And so we have not been looking to expand our theater exposure for a number of years now. And we'll going to continue to be very thoughtful about any theater transactions that are out there in the world that we might be looking at. It's unlikely you'd see us buy any movie theaters anytime soon.
Parker Decraene: Got it. Yes, that's what I figured. And then just my second question is just on rent collections for full-service restaurants. I think they lagged a bit. Is that just tied to specific tenants or just sort of what's the sort of color there?
Julian Whitehurst: Kevin, you may have a little bit of color. But I think for full service tenants and for movie theaters, they're both below kind of everybody else is running 98% or higher. And for those 2 categories, it's both continuing rent deferrals for tenants where the second quarter rents were deferred to be repaid later as opposed to rent forgiveness or even disputes with the tenants. It's just rent that we expect to get later down the road.
Operator: We'll take our next question from Elvis Rodriguez with Bank of America.
Elvis Rodriguez: Can you share an update on your acquisition pipeline? I know you commented on the call, having an opportunity to exceed that. How is it looking today? And what's the likelihood that you will exceed the high end of your range?
Julian Whitehurst: Yes. Elvis, welcome to the call. Nice to talk to you. I'll let Steve Horn talk about the pipeline a little bit. But just at the macro level, let me kind of put -- remind folks about the way we look at this. Our strategic goal is to generate consistent mid-single-digits per share growth on a multiyear basis. And there's a lot of inputs that go into achieving that goal, acquisitions is certainly the most impactful. But it really is just an input into the calculation of achieving that long-term strategic goal of consistent mid-single-digits per share growth. And our strategy as it relates to acquisitions is to do repeat programmatic business with a portfolio of large regional and national operators with whom we can build these relationships and do this repeat business. If we do that, we get slightly better real estate because the retailer doesn't sell us a property that the retailer is worried about. We get a lease document that is tailored to our needs to what we think is important. And we get a long duration, 15- to 20-year lease. And those are all advantages to us over -- going out into the open market, the one-off market, the 1031 exchange market and acquiring properties in a one-off basis. And we get a slightly better cap rate with our relationship tenants than you would get in the open market. So that's the strategy behind what -- the strategy that drives our acquisition efforts. And so, Steve, with that kind of macro intro, you want to talk about the pipeline and how that all stands?
Stephen Horn: Yes. What a year makes a difference as far as the pipeline. I sat here last year at this time, we didn't have a pipeline. But our relationship tenants have started growing and they're continuing to grow through 2021. So our pipeline is pretty solid right now. Year-to-date, we've closed a little bit over $200 million. Our guidance, to your question, was $400 million to $500 million. So as I sit here today, I'm very comfortable with that guidance. Our pipeline is very robust. Keep in mind, we could always hit the number and just go buy whatever we wanted for -- if we just throw out the window lease duration and cap rate. But we're still looking for that low to 6% cap rate with long lease term, we're relying on our relationships. As far as the industry statures, it would be what you would expect, convenience stores, auto service and QSR restaurants. There's a significant amount of volume in those industries currently. So yes, feeling good about the pipeline as we sit here today.
Elvis Rodriguez: Great. And just to follow up on that. Some of your peers have mentioned an increase in the sale leaseback activity. I'm assuming you're seeing the same, but just you're not chasing the lower quality sale leaseback opportunities. Is that the right way to categorize it?
Stephen Horn: No. I mean 2021, just based on our peers and the volume that's being done, there has been definitely an increase in the sale-leaseback market. But keep in mind, a lot of our peers buy just assets in the open market and don't focus completely on the sale leaseback. But yes, there's a lot of private equity activity in the QSR space and auto service space. So there has been an increase in the sale leaseback market.
Julian Whitehurst: Yes. Elvis, our relationship tenants kind of took a pause in the middle of last year while they got their own businesses kind of sorted out and figured out how to do business through the pandemic, and they did figure that out. And you can see how that's all been reflected in both our occupancy rate and our collections rate. They've all bounced back across every sector. And so the conversations that we're having with them now they are in growth mode and they're looking to expand their businesses. And I think for a lot of the lines of trade there's good M&A opportunities in their particular lines of trade for our tenants to pick up some of the smaller companies that struggled more in the pandemic. So the pipeline feels good in the longer future, the wide end of the pipeline and the more distant future feels good to us as well.
Operator: And we'll take our next question from Spenser Allaway with Green Street.
Spenser Allaway: I don't think you guys touched on this yet, but can you just provide a little color on the industry mix overall for your acquisitions made in the quarter?
Julian Whitehurst: Spenser, can you say that one more time? We didn't quite hear it.
Spenser Allaway: Yes. Can you provide a little color on the industry mix for the acquisitions made in the quarter?
Stephen Horn: Yes, it's Steve. The industry mix kind of looks like our current portfolio. But for the most part, it was a little bit heavier in auto services sector. But kind of your typical QSRs, we did have the general retailer Best Buy in there and some equipment rental. But for the most part, as auto service, it was a little bit heavier than historical.
Julian Whitehurst: Yes. Second quarter -- Spenser, the second quarter was kind of the quarter of the Car Wash.
Spenser Allaway: Okay. And then just as the transaction market has opened up more and you guys have become a little bit more active again, has anything either surprised positively to surprise to the upside or to the downside in terms of cap rate movements? Or has anything really shocked you in terms of just transaction activity?
Julian Whitehurst: I'll take the first step. I'd say nothing's really shocked us. We -- cap rates remain very low, but that's driven in our minds to a large degree by just a lot of -- as people say, cash sloshing around in the market. It's just a lot of capital out there chasing transactions. And what we found all through the years is that cap rates tend to not move up even in situations when one thinks they might. We -- otherwise, we felt like going into the pandemic, we felt like our retailers were the right -- they were their experienced and had their own business is in good shape, and we felt like they would get through it and out the other side. And they have. And our real estate, we felt was well located and was in high demand prior to the pandemic, and we expected that it would be in high demand after the pandemic. And again, I think our numbers indicate that that's validated itself too. So to a large degree, what we've seen it felt like is that this pandemic, just like the great financial crisis of '08, '09, has validated our strategy of dealing with larger operators and focusing on good locations at reasonable prices and low rents.
Spenser Allaway: Okay. Great. And then maybe just 1 more, if I may. On the disposition front, how many of these assets sold in the quarter were vacant? And then were any of the divestment cash basis tenant?
Julian Whitehurst: Yes. I think the split in any 1 quarter, it's a little bit of a -- it's a small sample size. I think in general, our dispositions are going to be kind of 50% leased and 50% vacant. Give or take, 5% or 10%. Kevin, would you add anything.
Kevin Habicht: And the proceeds are running in that kind of ballpark too. So year-to-date, it's about 50-50 on vacant versus occupied. I don't have the note or the data in front of me at the moment, just to, I guess, respond to it. The occupier and how many are cash basis, I don't think there's very many of those. That's not a driver. It might be 0. That's not a driver of our decision process, to be honest. We don't actually -- I mean, while we'd like everybody to be approval basis and have strong credit and feel comfortable about future lease collection, being labeled cash basis is not the biggest signal in our mind, so...
Operator: We'll take our next question from Wes Golladay with Baird.
Wesley Golladay: I just had a question on the sale leaseback activity. Do you think we'll get back to 2019 levels for the industry and with your tenants? And do you expect to maintain your share with the existing relationships?
Julian Whitehurst: Wes, I think the short answer to that question is yes and yes. I do think that as our tenants continue to get back into growth mode, we'll have the same level of volume or additional volume opportunities from each of them. And the acquisitions group that works for Steve is out building new relationships every day. And we'll continue to grow the overall pool of tenants with whom we do repeat programmatic business with. And overall, in the overall marketplace, I think it's going to be equal or greater volume as to what we were look -- what the entire universe is looking at pre-pandemic.
Wesley Golladay: Okay. And then when we look at the back half of the year, you did kind of call out M&A activity. Will that be a big part of the second half story? And would you guide us to or maybe not guide us, but I guess, how should we think about the split between 3Q and 4Q?
Julian Whitehurst: I wouldn't want to guess at that at this point. We know that there's -- that our tenants are looking at growing their business, and we know there's going to be opportunities out there, but it never makes a lot of sense to us to try to predict timing too precisely. Our guidance is generally kind of back-end loaded. So we feel good about where we are right now in case it turns out that this year, it's not back-end loaded. But I wouldn't want to get too granular on predicting when transactions might occur. There's a lot of things that might make things either speed up or slow down. Steve, did you have anything about the folks you're talking to?
Stephen Horn: No, I think as we say internally a lot, we're a couple of phone calls away from the pipeline not being as strong. So we don't try to focus on the timing, we kind of focus on getting the deals done as fast as we can. But as far as kind of our outlook, as you can imagine, our industry 3 months out, 4 months out, usually don't have a pipeline for December quite yet. So the pipeline when we talk about it is a little bit more shortsighted, third quarter, some will slide into the fourth quarter.
Operator: And we'll take our next question from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: Congrats on the good quarter. Just two quick ones for me. One on the cash basis tenants collection, the 92%. Is that -- is it fair to say that 8% that's lagging, is that still just movie theaters and so forth? Or is there any other sort of notable bucket to call out?
Julian Whitehurst: Not really. No. I mean it's -- we had the 4 big lines of trade that had some impact from the pandemic. And so our primary cash basis tenants are AMC, Frisch's, Chuck E. Cheese and Ruby Tuesday. Those 4 probably make up 90% of our cash basis tenant bucket. So it's a mix in that arena. But clearly, we've talked about the theaters are the most challenged and pressed and you can see that in our collection numbers to some degree, so -- but I call theaters and casual dining primarily.
Ronald Kamdem: Got it. That's helpful. And then I think this was asked earlier, I was just making sure I understand. So on the disposition side, was any of the assets cash basis tenants. Sorry, I don't think -- I missed the answer to that.
Julian Whitehurst: Yes. No. I think we concluded that we really didn't sell any cash basis tenants in the second quarter. And like I said, we're not -- that's not a particular driving factor or important factor to us in making fold or sell kind of decision to be honest.
Ronald Kamdem: Got it. And then, sorry, last question, if I may. When you're thinking about sort of the industry mix and so forth, I think you talked about that sort of this quarter was big for car washes. Is there any sort of other sort of subsector or subsegments that over the last 3 to 6 months that you've gotten more constructive on or more attractive? And is there any other that you'd probably want to sort of sort of get away from?
Julian Whitehurst: What we try to do is build relationships with retailers in all the different lines of trade where you'll find retail type properties located along high-traffic roads. And what history has taught us is that transaction volume among industries will kind of ebb and flow due to 1 reason or another. So we don't spend too much time trying to project ahead about what particular lines of trade are going to be active or anything like that. It's very -- we want to build relationships with lots of operators. And then after that, the whole process is very bottoms up. It's what real estate, are they acquiring and do they want to do a sale leaseback and if so, what's the right terms for that and then to get on down the road, I think if you look at what we've done recently, the -- there's -- Steve's group has done a good -- great job of building relationships with different tire store operators, not just -- and we've done some car wash deals with other -- with a number of different operators and equipment rental and -- but -- and we have deep relationships across all of the fast food concepts. So really looking down the road, I think what you should -- you'll see with us is the portfolio down the road will look a whole lot like the portfolio that it is right now. And we will continue to be pretty thoughtful and pretty prudent about doing bigger boxes, bigger and more special-purpose boxes, I think every REIT is going to be kind of cautious about those kind of properties for the time being. Those were the ones that gave people the most heartburn during the pandemic.
Operator: And we'll take our next question from John Massocca with Ladenburg Thalmann.
John Massocca: So I think I asked about this on the last earnings call, but obviously, with the kind of collections moving up to 92%, I don't know, has your outlook changed at all for moving some of these cash basis tenants to accrual accounting again? And I guess, if so or if not, I mean, how many months or quarters of kind of consistent payment do you want to see before making those changes?
Julian Whitehurst: We'll consistent with our delivered and sometimes slow-moving thought process, we just -- again, I don't view it as a big one as having a tenant labeled as cash basis. I don't think it's bad accounting, meaning you report what you collect. And so all I have to say is, we're not in a particular hurry to get folks back to accrual basis. We said really at the time we moved on a cash basis, we certainly wasn't going to be 1 year, it would be more than a year before we -- but that it might be worthwhile to move them back to accrual. But we're going to want to see some quarters of performance from those tenants before we get too interested in making that change. So like I say, in the meantime, we don't view it as a big negative to have a labeled cash basis. In our minds, it's not terrible accounting. And so we'll -- all I have to say is it will probably be next year sometime before we start to possibly drift some of those tenants from cash basis to accrual basis.
John Massocca: Okay. Understood. And then speaking of kind of tenant health, now that you're collecting close to 100% of rent, I mean broad brush strokes, what are you seeing in terms of kind of coverages? Do you have that data yet? What kind of like maybe what it was looking like historically prepandemic? Just any color there would be helpful.
Julian Whitehurst: I mean the data is still kind of coming in. So -- and there's somewhat of a lag. Some tenants, we get quarterly data, some annual, but -- we -- it feels to us that the vast majority of our portfolio, they're at kind of prior coverage levels that we're very strong. And so we feel pretty good on that front. The 1 question always lingers in my mind anyway, how much of it is stimulus related. And so how lasting and long term will be once we get to a post-stimulus environment. But it feels very good right now in terms of coverages and what we've seen in a number of our tenants is not only -- is that their profitability has improved through this pandemic as they've rethought processes and cost structures and all kinds of things. Margins have held up very well. And so the they've actually done well in terms of the profitability and therefore, the rent coverage.
John Massocca: Okay. And then 1 last quick one. what drove the impairment in the quarter? Just thinking specifically with the pretty high rent collection? Just any color there would be helpful.
Julian Whitehurst: On the impairments for the quarter, as a number of properties, I mean, it's primarily 2 or 3 larger dispositions that ended up getting impaired. And I'd say 3 of the top 4 were vacant properties that were sold or going to be sold. And so that was really the driver of that.
Operator: . We'll go next to Linda Tsai with Jefferies.
Linda Tsai: It looks like guidance on your real estate expenses net of reimbursements went down a little and then G&A went up. Can you just give some more color on the shifts?
Julian Whitehurst: Yes. Fair comment. They didn't move a whole lot, but they did move a little. On the property expenses just -- we generally model the property expenses to somewhat mirror vacancy or rent loss, if you will. And so to the extent rent loss projections improve, we kind of it also tends to improve our property expense projection. So at the margin, that is the primary difference there. And on G&A that largely just a function of incentive comp, which was down notably last year, and we'll get back to more normal levels in this year, hopefully. And so just accruals related to that.
Linda Tsai: And then you talked about some of the challenges with movie theaters and full-service restaurants. What are your thoughts on fitness as an industry right now? Is this an area you would invest in further?
Julian Whitehurst: Yes. At the -- when the pandemic struck, we were -- that was 1 of the lines of trade that we were concerned about. Our primary fitness exposure is with LA Fitness and Life Time Fitness and both of those companies have gotten through the pandemic in pretty good shape. And anecdotally, what we hear and feel is that customers do want to get back to working out at the gym. The folks that we're using the gym before want to get back to using the fitness facilities again. And so over the long haul, we think that, that industry will rebound. I mentioned in answer to one of the previous questions that we're going to be very thoughtful about bigger boxes that are more special purpose and to some degree, the fitness center properties fall into that category. And so we'll be thoughtful about that. But to the extent a portfolio of fitness centers was out there or our relationship tenants had some transactions that they wanted to do. Those are things that we would look at. We would focus on the cost per property and the rent, but that would be something we would look at.
Linda Tsai: Got it. Just one last one. As you look out over the next 6 to 12 months, what's your preferred source of financing?
Julian Whitehurst: A tough one for us. So I was going to say stock at $60 a share.
Kevin Habicht: Yes, there you go. Yes, so I mean, we are constantly kind of evaluating what's the best opportunity in the marketplace for us. The good news is we don't need any capital, frankly, for much of that time period that you laid out there. So it will be a variety. The usual mix of our capital structure, we're not looking to change that notably. And so it will be a blend of debt and equity as usual. Both are relatively well priced. But we try to pivot and source capital at good opportunities when the time is appropriate and capital is available and well priced. And so -- and we take a very long-term view to that, we don't think about -- we need to get more debt or more equity today or tomorrow. We just -- we know -- we're thinking about 2 years out and how to position the balance sheet and the liquidity that we have. So I'm being a little bit elusive. That's 1 reason we don't give guidance on our capital raises because we tend to be fairly opportunistic on that front, and we'll see what the market did me up for us.
Julian Whitehurst: Two other sources of capital that people forget about sometimes. One is dispositions, we have historically been able to sell $100 million or so properties per year at cap rates below what we are reinvesting at. So we've been able to accretively recycle capital through our disposition business, and we have hundreds, if not thousands of properties in the portfolio that would sell for very low cap rates. And the other is just kind of free cash flow after payment of dividends. We have, Kevin, what, around $120 million?
Kevin Habicht: In a normal year, we were $120 million this year because of the rent deferral repayments, actually, that number notably higher. And so we're looking at total rent deferral repayments of around $30 million. So it will be closer to $150 million this year.
Julian Whitehurst: All of which positions us really well to not need -- try to be in a position where we don't need capital in order to fund our guidance and deal with whatever opportunities are out there.
Operator: And Mr. Whitehurst, there appears to be no further questions at this time. I'd like to turn the call back over to you for any closing remarks.
Julian Whitehurst: All right. Thank you, Tom, and thank you all for joining us this morning. We look forward to hopefully seeing many of you in person during the fall conference season. Have a good day.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation. You may disconnect at this time, and have a great day.